EXECUTIVES:: Jeff Smulyan, CEO and Chairman   Dave Newcomer, Interim CFO   Rick Cummings, President, Emmis Radio
ANALYSTS:: Victor Miller, Bear Sterns   Lee Westerfield, Harris Nesbitt   Lorraine Mancini, Merrill Lynch   Jonathan Jacoby, Bank of America Securities   Bishop Sheen, Wachovia Securities   Art Winkess, Goldman Sachs,   Marci Riveker, Wachovia Securities
Operator: I will turn your call over to Jodi Wright, thank you ma’am you may begin.
Jody Wright: Good morning. Thank you for joining us for today’s Emmis Communications Conference Call regarding fourth quarter earnings. I want to extend a special welcome to all the Emmis employees who are joining us and listening in this morning and those of you listening from our website Emmis.com. We will begin in just a moment with opening comments from Jeff Smulyan, CEO and Chairman of Emmis and Dave Newcomer interim CFO. After their opening comments, our conference call moderator will come back on the line to instruct you how to submit questions. Joining us to help answer your questions is Rick Cummings, President of Emmis Radio. A playback of this call will be available for the next week by dialing 203 369-1456. This conference call may include forward looking statements within the meaning of the Private Security Litigation Reform Act of 1995. Please refer to Emmis public filings with the SEC for more information on the various risks and uncertainties. Additional disclosure related to non-GAAP financial measures can be found under the Investor tab on our website, Emmios.com. Jeff?
Jeff Smulyan, CEO and Chairman: Jodi thanks. Somebody commented on our last conference call that I was particularly downbeat. I guess what’s interesting today is I would start of by telling people I am remarkably upbeat. I’m upbeat in spite of a market which clearly doesn’t look very good and I’ll go through a couple of highlights. In our fourth quarter we guided to a flat market and our stations up 1 or so. We ended minus 1. As a market, we were down 2. We certainly had challenges in Los Angeles. Without our Los Angeles stations we actually would have finished up 4, but we have a challenge in Los Angeles. In spite of all of that, in the fiscal year which we’re reporting on now, we beat our markets for the third year in a row. We’re quite proud of that. But, there’s no question that there’s nothing particularly compelling about radio performance; especially when you have markets like New York and Los Angeles which are down quite a bit. But having said that let me tell you why I’m upbeat. I’m upbeat because I think this industry is now getting ready to turn the corner. More important for us, Emmis is turning the corner and we’re making some steps that we think will position us for the future. Now, as far as radio pacing, there are those of you who are going to say, tell me about April, tell me about Ma. We don’t see anything out there that looks particularly great, but what we do see are a couple of things. One, we’re seeing more activity in the industry in terms of the HD alliance. We’re seeing it in terms of electronic measurement. We’re seeing people come together to focus on changing the dynamic. As important, there’s now data that’s showing that some of the stellar predictions about satellite radio are probably not going to come to pass. We’re also seeing things like the recent Edison Media Study, which shows that time spent listening to radio has really not eroded. And we’re also seeing anecdotal evidence that a lot of advertisers who have deserted the radio business may start coming back as they focus on the fact that this is an industry that reaches over 90% of the American public every week. Clearly the radio industry has been bettered. You all know that. Everybody on this call understands that. At Emmis, we think we’ve been proactive in industry steps and we’ve also done some things in the company that we’re quite proud of. We’ve decided this year that we are going to invest in our businesses. And, we’re going to take a longer term view. One of the things that we’re going to do starting this quarter is stream all of our radio stations. Our interactive group has been spectacularly successful and profitable, and we think that’s an opportunity for us to further demonstrate their abilities. In addition to that, we‘re going to invest in our properties. We’re challenged in Los Angeles, but I have to tell you that we were challenged in New York a few years ago. The one thing I’ve learned in 25 years of this Company is that when we’re challenged, people rise to that challenge. We’re doing extensive marketing with KZLA and Power in Los Angeles. Just as recently as yesterday, one of our format competitors switched. So I’m not concerned about us prevailing in the format battles. That’s what we do; we do it better than anybody. And, I think we’ll see signs that we’ll get back to the leadership position in Los Angeles that Power has enjoyed for so many years. In New York, we’re doing much better than the market, but the market is struggling. One other point that’s encouraging is that our smaller markets are actually doing quite well. So, we think that most of this down turn has been caused by challenges in New York and Los Angeles As I’ve said, we’re going to be proactive in a couple of areas: one, reinvesting in our core assets; number two, investing in corollary things -- new ways to deploy our products; number three, we also are going to be very proactive in looking for new areas to grow. Where we find investments that will give us above average growth rates, those are the things we will look at. And fourth, I’m encouraged because at Emmis we’ve righted our capital structure. In the past year, we’ve bought back 40% of our stock. We sold over a $1 billion of assets and paid down a tremendous amount of debt. We believe we’re in the final stages of other asset sales on our TV side, and so we feel good. We have a great capital structure, and while there’s no way that I can tell you that radio pacings in the last few months or the next couple of months look great, we think that the worst is now getting behind us. With that, I want to turn it over to David Newcomer.
Dave Newcomer, Interim CFO: Thanks Jeff. I’m going to go into some data points by division starting with domestic radio. For the year, we finished up 3%, while our markets finished up 2%. This marks the third straight year of revenue out performance. For the year, we actually gained share in 6 of our 7 markets. For Q4 our national markets were up 5% and 23 were up 9. Our local markets were down 3% and we were down 7%. And, as Jeff mentioned previously, we have some current competitive challenges in Los Angeles that’s driving that quite a bit. For the year, the national markets were up 3% and we were up 9% and our local market were up 2% and we were up 1%. We see national a little bit stronger than local in Q1. For Q4, total radio expenses were up 7% and in line with guidance. However, domestic expenses were up 9%. This 9% includes a bad debt write-off related to the Sam Goody bankruptcy. And this was $1.3 million, which contributed to that 9%. Exclude that $1.3 million of bankruptcy costs that put expense growth at 5%, which would get us on the low end of guidance. For the year, expenses were up 6% and this included the investments in Chicago, that bankruptcy write off we talked about, some significant legal costs related to New York and investments in our interactive division. For Q4, autos were once again our largest category, but we’re actually down 3%. Categories up for the quarter were: Movies, Banks, Entertainment and Health Care. Categories down for the quarter were: Media, Restaurants, Department Stores, Beverages and Cellular. For the year, autos were down 6%, but were our #1 category. Other categories up for the year were: Media, Movies, Banks, Entertainment and Food, and categories down for the year were: Restaurants, Beverages, and Cellular. For Q4 sell out was down 2% and our average unit rate was down 2% as well. However, for the year, sell out was down 2% and AUR was up 5%. And we’ve been very consistent with reducing spot loads and pushing rate over the last few years. Regarding our International Division for Q4, we reported pro forma revenue down 2%, and expenses up 2%. However, in local currency, results were: revenue up 10% and expenses up 8%. For the year we reported pro forma revenue up 11% and expense up 16%. But again, in local currency, revenue was up 19% and expenses were up 17%. Strengthen dollar obviously had a huge impact on our earnings and we’re very pleased with our local operations. For publishing for Q4, revenue was up 7% and expenses were up 19%. The large expense growth was due to ramping up our start up magazine in Los Angeles, The Ciudad, as well as some large paper costs. For the year, revenue was up 12% and expenses were up 16%. Regarding our capital structure, total coverage leverage at 228 was 5 times. Under our senior credit facility, leverage was 5.8 times. On March 9th, we repaid the $120 million of remaining floating rate notes as well as the remaining zero coupon notes. Our weighted average cost of debt was 6.6% as of 3/1/06. Some other items: On 3/1/06, we adopted 123R regarding non-cash compensation. As previously disclosed, we accelerated investing on all prior year options as of 2/28/06. A 3/1/06 stock option grant is expected to result in $2.6 million of additional expense. Broken out by division, that’s $800,000 for Radio, $200,000 for Publishing, and $1.6 million for Corp. Please reference the pro forma table on our website to get the divisional expense amounts, which include prior year non-cash, comp and use these to model expense guidance. Our expense guidance incorporates all non-cash comp except the 123R option expense. For Q4, Corporate up $12.2 million includes about $6 million of TV related severance and onuses. Excluding these one-time charges, it was around $6.2 million versus guidance of around $6.5 million. We had a $37 million impairment charge which was mostly Austin for the quarter, which relates to the original deal which was valued at 18 times. However, there’s an option that still exists to buy the remaining one-half at 18 times. That’s what resulted in the impairment charge. A CAPX excluding TV will be approximately $3 million in Q1 and approximately $9.5 million for the year. Regarding the sale of WRDA to Radio 1, we hope to close that sale in Q1. And finally, the details are contained in the 8K we filed this morning, but basically we have to re-state our Q2 and Q3 financials to move our preferred stock from equity into mezzanine because last summer’s amendment to preferred stock in connection with the Dutch Auction tender offer gave the preferred holders the right to redeem their shares at par, one year after a qualifying going private transaction. Unfortunately, neither we nor our auditors knew how narrowly the rule is interpreted with the SEC until after we had filed the last two 10Q’s. We disclosed all the facts, but we now know the classification on the balance sheet was wrong, so we’re restating the financials and will fix the accounting going forward. Please note that this restatement has no impact on the statements of operations, statements of cash flows or any balance sheet items except for shareholders equity at mezzanine. The restatement also has no impact on our operations including compliance with covenants, nor debt instruments, other agreements or regulatory requirements. We expect to file the restatements later this week and then move on. Thanks.
Jeff Smulyan, CEO and Chairman: David thanks. We’re now prepared to take any questions you might have.
Operator: Thank you. At this time, if you would like to ask a question, please press * then 1 on your touchtone phone, you’ll be prompted to record your name. Again, to ask a question, press *1. Victor Miller, Bear Sterns, you may ask your question.
Victor Miller: Good morning. Thank you for taking my question. I have two. One, this is going to be the second year in a row of mid single digit expense growth plus at the radio group. Could you talk a little bit about what you think you need to do and what’s explaining that kind of industry above-average industry growth for now two years in a row in terms of expenses? Secondly on LA Jeff, you know you’ve got Clear Channel with 8 stations, CBS with 7, Disney with 4 now, Citadel, Univision with 5, Spanish with 2, Radio 1 with 1 station in LA, a lot of formidable competitors. It’s a very ethnic market obviously; you had some challenges there. Maybe you could talk a little more specifically about what challenges you have there. You have $450 million of float with stock right now. LA alone could basically, in my estimation, probably take the entire Comany in – would you ever explore looking at the sale of the LA market?
Jeff Smulyan, CEO and Chairman: Well I mean, I think this Company has said we will explore just about everything. Clearly we think our stock is undervalued. This whole sector is at almost an all time low. On the other hand, what we do is compete. You know we’re 25 years old. And while we’ve faced a battle from K Day, we’ve just switched the format yesterday. And the Beat, which appears to be moving away from us and KISS and KXOL, it’s always usually a perfect storm of competition. But, we’re actually seeing some pretty good signs. You know, Power was the number 1 station in LA when it was a stand alone. The fact that we have KZLA… I don’t think we would have the same competitive questions that people raised for us a couple of years ago when we were taking a direct head-on competitor from Clear Channel. But having said that, I think in this environment you look at every alternative. One of the things that gets to your first question, Vic, is we believe that in this environment we need to make investments. We made investments last year; we retooled Chicago, did some more research which has put us in a pretty good position for this year. You know, our earnings are always 6 months behind what’s happening out in the marketplace. And we believe that by making investments – let’s face it - you know in a market where LA and New York are down 5, 6 to 7% wherever they’re down, we can’t produce quarterly earnings to look good. But what we can do is retool those properties, make investments and invest in corollary things that will put is in good stead for the future. And I think in this environment, Vic, you’ve got to look at everything. Rick, I don’t know if you want to add anything to Vic’s question?
Rick Cummings, President, Emmis Radio: I think that pretty much covers it. It’s interesting, we did lose a competitor yesterday in K Day.  They’ve moved off into what appears to be an adult Urban that will add a couple of 1/10th of a share, possibly as much as a much as ½ a share. We’ve seen three straight down trends prior to the last month in KXOL. There was an interesting article in the LA Times this weekend suggesting that the Reggae Tone Craze is over. We’re not counting on that Victor, but certainly there’s a 20 year history here in Los Angeles to suggest that music styles, especially English speaking music styles, targeted exclusively to Hispanic are really tough to make work on a long-term basis. And we look at Power and realize that over the last 20 years this has been a market leader most of those twenty years, and we feel pretty good about our position. We think, in fact, that within the next six months to a year Power will make resurgence. Having said that; it’s not as bad as it is. It’s still tied for first 18/34 in Los Angeles. So, as Jeff said, this is the kind of stuff we deal with. This is what we’re good at, is competing with head to head competition. Four years ago in New York we took a direct competitor, we were down certainly. In New York we trailed the market by double digits, but in less than a year, we got back on top of that. I think we’ll do the same thing in Los Angeles.
Victor Miller: Thanks guys.
Operator: Lee Westerfield with Harris Nesbitt, you may ask your question.
Lee Westerfield: Gentlemen good morning. Two questions if I may. Jeff and David, first the financial details, if you can David, remind us here, what the tax shields are that are still available to you in the event the remaining TV assets are sold. Secondly, what on a going forward basis radio tax shields would be for license and intangible amortization. I’m trying to get to the root of the cash tax rate going forward. And Jeff, you said something intriguing, maybe I’m reading into it too much, if you could just clarify, that your TV asset sales are in their final stages. That’s suggesting that there is a very recent development there, or do you simply mean that you’ve sold off most with 3 still to go?
Jeff Smulyan, CEO and Chairman: Well, maybe I should clarify. We are in discussions, very final discussions with several different people in Orlando. I think that one will resolve fairly quickly. It will go one way or another and then I think that in New Orleans and Hawaii, we’re in discussions,-- I guess I shouldn’t say final stages there. But I certainly believe, by the end of this quarter that we’ll at least have some of this done. And I certainly believer that by the end of this year we’ll be totally done with our TV sales. You know, a deal’s never done until it’s done. But we’re certainly moving along in a couple of them.
Lee Westerfield: I understand, thanks for the clarification. And David, the financial.
David Newcomer: Lee, regarding our tax shield, I think you should anticipate radio amortization of around $40 million a year, and about 10 years left on that. But we will be a cash tax payer post TV sales going forward.
Lee Westerfield: And the shields in the event of the last tax, sorry TV sales?
David Newcomer: Oh, it’s very small.
Lee Westerfield: Okay. Gentlemen, thank you very much.
Operator: Lorraine Mancini with Merrill Lynch, you may ask your question.
Jeff Smulyan, CEO and Chairman: Hi, Lorraine.
Lorraine Mancini: Hi, good morning. A couple of questions for you. We know that February the Olympics impacted a lot of advertising and impacted TV tune –in, what are you seeing in May TV tune in and radio? Is it coming back in, is it stronger than you would expect? And what is the piece of business like post Olympics? And second, could you just break down on your guidance a bit the difference between domestic and international, or are they pacing about similar in the guidance is relatively similar?
David Newcomer: Lorraine, regarding the guidance of the down mid single. We’re comfortable with that with domestic. The international radio is slightly higher than that. Of course, it’s subject to a pretty wide currency fluctuation as we noted earlier. But, right now we’re comfortable with that on the domestic side.
Jeff Smulyan, CEO and Chairman: And as far as TV, obviously you had a couple of things in TV. You had the Olympics which affected those dollars in February. You also had the decline of the UPN and the WB. With both the CW and my network or whatever the new Fox network is, that should impact that marketing. It should improve it going forward. Whether you know, you won’t get that benefit in May, you’ll get it in September, but it will be a more normal TV market in May.
Lorraine Mancini: Thank you. And if I could have one follow up? You said that rates were down in this quarter. Is that just because they were up so much last year, or do you think that could have something to do with less is more and how the competition in the markets is reaching?
Jeff Smulyan, CEO and Chairman: Rich, do you want to….?
Rick Cummings, President, Emmis Radio: It may be a little bit of both, Lorraine. I’m not really sure. I think any time a market is as soft as New York is right now, it’s really tough to drive rate. And, if we all tend to point at the other guy and say, his fault – but I think it’s just really difficult in a market where things are as soft as they are right now for us to dive rate – any of us. I think that’s a short term things. If you look over the years, Nuke pointed out early on in the call, our averaging rate was up 5% for the year. But it was not up in Q4. It was tough to maintain that when the demand’s not there.
Lorraine Mancini: Okay, great. Thank you.
Operator: Jonathan Jacoby with Bank of America Securities, ask your question.
Jonathan Jacoby: Good morning. Two questions here. One is can you just break out how LA did relative to the market, I’m curious and sort of any maybe some improvements here as we head into the first quarter? Second question, obviously the Washington National Police have been speculated to wrap up in a few weeks, I wanted to hear your thoughts or if you can give us any more color and then if you’re not successful in that bid, how do you look at other you know, what are your interests with that $100 million sort of allocated towards the National? The last question here, is I believe that the 6.875 indentures that you put in place with the transaction that you did last year, they have to be replaced are there any thoughts about what to do? Thanks.
Rick Cummings, President, Emmis Radio: Jonathan, regarding the 6 and 7/8th, we have an obligation to make the offer because we’re using the TV sale proceeds to redeem the floating rate notes. We have that obligation, but we have that until November of this year and we’re going to continue to evaluate that as we get closer to that time.
Jeff Smulyan, CEO and Chairman: As far as Los Angeles, we certainly lost the market by several basis points, probably a little bit more than that, about 5 basis points I believe. And there’s no question, we are starting to see – we think that’s the trough I mean you never know. But we like the fact that with some of the investment that we’ve made that at KCLA, more marketing at KCLA than we’ve done in years. Plus the fact that some of our competitors seem to be drifting away or have some challenges. We think we’re at the bottom of the heap there, but you know, Jonathan, one of the problems is that anecdotally, we’re starting to see some better signs in the industry, but it’s not in New York and LA yet. New York and LA seem to be you know, the focal point and they’re clearly worse than anything else that is out there. And, I think that’s certainly hurt our Company. I think it has hurt the industry as a whole. But elsewhere I think people are getting back to realizing that radio gets results and I think that’s why in smaller markets, business is better. As to the Washington National, we’ve said clearly that you know, whether we prevail or not, what we are going to do with our new capital structure and this is absolutely true with that investment, it’s true with any investment. We are going to look for areas that can grow faster than our core businesses. We believed that with the Washington National. If that doesn’t come to pass, we’ll look for other things that might give us the opportunity to grow more aggressively. That is the only test that we have is how good can these businesses be? And, you know, that doesn’t mean we don’t love our core businesses, but we also know that investing in faster growing businesses will give us a good complement to our core businesses.
Jonathan Jacoby: Just one follow up. What percentage of the expense growth is related to sort of content investments?
David Newcomer: I don’t know if we have that broken down. I’ll tell you what, I’ll off line to Jonathan, we’ll look into that for you.
Jonathan Jacoby: Thank you so much.
Operator: Bishop Sheen with Wachovia Securities, ask your question.
Bishop Sheen: Thanks for taking the question. Good morning everyone. Couple of questions. One, on guidance, the expenses to be up for the fiscal year mid single digits, for Q1, should we anticipate that would be even or is it going to be spikier for expenses in this current Q1?
David Newcomer: You know, Bish, it’s always higher in Q1. You always have year end stop, New Year’s stop, that you invest in and our Q1 is always higher. It always has been.
Bishop Sheen: Okay.
David Newcomer: So it will even out over the course of the year. You know every year for all the years that we’ve been public.
Bishop Sheen: Alright, and on Austin, is there, if you refresh my memory again, is there any mid term obligation in your partnership in a put call for you to offer to take out your partners?
Jeff Smulyan, CEO and Chairman: Absolutely not. That number was merely a benchmark. We have no obligation now or in the future to buy it and certainly not at that number. That was merely a benchmark. So the answer is not. And we had a wonderful partnership with David and Bob Sinclair. I think they loved the job with Bal Macky and Rick and Scott Gilmore and our team have done. So right now our partnership is 41/49 and we don’t anticipate that changing. They’re happy and we’re happy and I would assume it will remain that way going forward.
Bishop Sheen: Okay great. Jeff, just a chance for you to be upbeat. Tell me about your view on (inaudible), say for Susquehanna and Cumulus and the sort of offbeat Citadel ABC, we haven’t seen a lot of data points to reaffirm whatever the private market value of radio stations is or should be, and I believe you have some views on this. What are they?
Jeff Smulyan, CEO and Chairman: Bish it’s interesting because I know Marci is on the line and Marsha made a comment about we can go out and make a creative acquisition in the radio business. With all of our stock trading where they are and what I see in the private market, that’s a mathematical impossibility. I’d like to do it and when Marci comes on, I’ll tell her I’m still looking. But the reality is what we’re seeing is the mid teen valuations for really good assets is holding. There’s a lot of capital out there and I think a lot of people are looking at this industry and sort of shaking their head. This should not be an industry that has declined in revenue. If you look at this industry from a 50,000 foot level, you see a couple of things: One, you see consumption is not declining, you see in a fragmented world we have the ability to reach people in a broader base than almost anybody, you see a lot of experimentation on the internet and listen, I don’t want to minimize, I don’t want to have my head in the sand. What I have seen is probably the biggest issue has been what I call the cache o satellite radio. Advertisers saying, well radio must be passé, we can’t buy satellite, they don’t have any listeners anyway, but you know maybe we’ll go experiment elsewhere. I think people understand the long term implications of what satellite really is, which is a nice niche business that may or may not be profitable soon and that radio’s ability to reach almost all of the American people every day has a tremendous amount of impact when you look at some of the challenges facing TV and newspapers and other broadly based media. So, I think that’s the reason why outside capital and strategic investors have held up the value of the better assets. You know when people say what are we going to do, it’s hard not to think about pulling our capital to buy our own stock back, because everybody agrees we had the best assets in the business as collection. Hope that helps, Bish.
Bishop Sheen: It does, thanks Jeff.
Operator: Art Winkess with Goldman Sachs, you may ask your question.
Art Winkess: Thank you, good morning. How much of the May quarter softness would you allocate to auto and what are some of the other major pockets there that are weaker? And second, I was wondering if you could provide us or just update us with some of your thoughts with respect to the new audience measurements proposals out there and when you think that might happen? And then, sorry for the third one, but you mentioned you expect good performance from your interactive division. What bucket is working there and if and when you own the national’s how does the MLB.com, business, how might that affect that opportunity? Thanks.
Jeff Smulyan, CEO and Chairman : Rick do you want to one and three, I’ll do two and four?
Rick Cummings, President, Emmis Radio: One was Auto, right?
Art Winkess: Yes. How much was auto, and how much is other stuff?
Rick Cummings, President, Emmis Radio: Auto was certainly one of the major contributors. I mean Ford in Los Angeles, Ford is a big spender and Ford was missing in action in calendar Q1 and we hear that maybe they may be missing in action in calendar Q2. It’s spotty. The domestic auto makers are definitely down – all of them. They’re not spending as much as they were a year ago. Some of the foreign auto makers are spending more. But on balance, auto is certainly down. I think it is certainly a contributor to the softness in Q1, probably to about the same extent as it was in Q4. Down 3% or 4%.
Art Winkess: Okay and then are there any other major buckets that you can identify?
Rick Cummings, President, Emmis Radio: No, I mean Saluver is still solid because of all the consolidations of those companies is still soft for us. But I think the one that we’re certainly watching most and most concerned about is auto.
Art Winkess: Okay.
Jeff Smulyan, CEO and Chairman: What was the question?
Art Winkess: Audience measurement and then interactive.
Jeff Smulyan, CEO and Chairman: Audience measurement, I think we’re making real progress there. The goal of the committee which Clear Channel put together Emmis is a part of it. Most of the major broadcast companies are part of it. Many of the advertising agencies and the national buying influences are a part. We’ve looked at – I think we started out with 30 some proposals. We narrowed that to 7 or 8 proposals toward the end of 2005. We have now seen presentations from the 3 finalists. There is a meeting again at the NAB in Las Vegas. We’re getting very close I think to achieving the goal. The goal was find the best system and find it quickly. We’re in the final stages of doing that.
Rick Cummings, President, Emmis Radio: We have been a big believer that we have a perceptual issue with our advertisers and they have said we want you to transition. I think you always listen to your customers and that’s what we’re trying to do here. And I’m very optimistic. I think the thing that’s been most gratifying is that all of us, Clear Channel and CBS and Bonneville and Intercom and Citadel have all come together and (inaudible) radio one truly work together to try to transition this. So it’s important because our advertisers want electronic measurement and it’s important for us to do it and do it in the best possible way. And we’ve come together and I think we’re getting there. The MLB.com, Jeff do you want to do that?
Jeff Smulyan, CEO and Chairman: Our interactive people who I just think have been terrific and Rick can talk about some of the growth, but our interactive group has not only done work with us, but consulted other people.  I think they understand this base as well as anybody. I think that’s why our websites have won so many awards, as well as made a profit when others haven’t. We believe MLB.com is unique. It is a site that has grown dramatically. It has grown not only because of the ability to get the major subscribers for people. We’ve said that probably the internet is like the national television contracts for football – the internet for baseball, because of the gigantic rise of fantasy players. We like that business. We also like the infrastructure they’ve built. The reason CBS went to MLB.com for the screening of the NCAA tournament is because of the remarkable infrastructure. There are some things that our internet people would like to tie in if we’re successful on the national’s thing. There are some tie ins that our people would like to explore.
Art Winkess: Great, thank you very much.
Operator: We have time for one more question. And our last question comes from Marci Riveker with Wachovia Securities
Jeff Smulyan, CEO and Chairman: Hi Marci.
Marci Riviker: Hi. Jeff if creative acquisitions are impossible, is the only way to really fix the radio business by diversifying into faster growing mediums? So basically, is radio by itself a lost cause? Or, what’s going on?
Jeff Smulyan, CEO and Chairman: No Marci. It’s absolutely not a lost cause. The reasons we articulated. It is impossible with all of our stocks to make a creative acquisition. It’s one of the reasons we had gone to other areas, Eastern Europe, we’re applying in Finland, because we think we have a chance to make a creative acquisition. But it’s not a lost cause because we reach almost every American every day. And if you look at competing forms of media, they are incredible fragmented, incredibly narrow and we believe that we reach almost every American, almost every day where they live. We’re relevant to them. They use us as companions. They use us as a source of entertainment. They rely on us for information, especially in critical times. And we think that for those reasons, this is a business which I think has a perception that it’s over. Obviously when our analysts say it must be over, it’s not over. It’s a business that has been able to produce 45¢ on the dollar and still does in terms of return on revenue. It’s not over. It’s struggling. What I’ve seen over the 30 some years I’ve been in this business is every industry has its ups and downs. But the basic relevance of this industry is not diminished. It is a fragmented world. It is a world where people have lots more choices. But if we can’t find a business which reaches people where they live and which has some universal distribution and which has the ability and we need to be leveraged into new areas. So, I don’t think it’s over. That’s why we’re continuing. We made a conscious decision that there were structural issues in TV that we couldn’t solve. But we also made a conscious decision that the radio business should come back. And a year after we made that decision, evaluated it almost every minute of every day, we probably feel stronger about that now than we have. I know we’re at a trough, but I think we’re at a trough and I think the BC signs of this business is going to reinvent itself. Most of what I’ve learned in life is really learn the great lessons of life in adversity. And I think that all of us in the industry are seeing that now. I’ve seen more energy and more passion and more commitment not only out of the people at Emmis, which I’ve seen every day in the 25 years we’ve been in existence, but from our peers. They’re struggling. They’re looking for ways to reinvent this business and I think we will, all of us.
Marci River: Okay. And then I have one last question. With New York and LA being so weak, where are the ad dollars going? To the internet? Is it somewhere else?
Jeff Smulyan, CEO and Chairman: I don’t think – some of it’s to the internet. I think we’ve had some advertisers who had explored the internet and Mary Beth Gerber was one of the leading analyst believed that this is the biggest year for exploration and when people look at rates of return, they’ll come back to radio. Rick you might amplify on that>
Rich Cummings: Yeah, hi Marci. I think that everybody on this call should go read the Edison Study which just came out a couple of days ago, Edison Research. And it really is remarkable, the gap between perceptions and what’s really true. And when you see the data points and you realize that while pod casing is hot, while internet radio is heating up and different kinds of audio content on different kinds of platforms are all the rage, when you look at the data, what it’s truly telling you is, it’s all radio programming. Every bit of it. And that’s what’s remarkable to me is that, this industry which is really the source of this, is taking such a beating perceptually and when you realize you’re seeing this data that time spent listening across the AM/FM band is absolutely stable. It’s flat from where it was a year ago, two years ago, three years ago. Even with the introduction of all these new platforms, it sort of bears out the point that this is a very viable business and that a lot of people while they’ve looked at and said it’s over, it’s going to be declining, the data doesn’t support that at all. And Mary Beth’s contention, Mary Beth Garber’s contention is that this will be the year, the year of reckoning where an awful lot of advertisers realize that while internet is sexy and while pod casting is sexy and they are viable – so is satellite as a niche business, the truth of the matter is, it’s better to reach 96% of the American public than 75%, which is what the internet reaches. It’s better to get 3-4 hours a day of consumption through television and radio than it is 90 minutes on the internet. And her point is that this is the year where a lot of these advertisers who are trying all these things will realize they need the reach of mass media. And when they come back, then we’ll go on another roll.
Marci River: Thank you so much for all the color.
Operator: Thank you for joining us this morning. Before Jeff’s closing comments I’d like to remind everyone that a replay of this call will be available through next Tuesday, April 25th, by calling 203 369-1456 or by visiting our website Emmis.com.
Jeff Smulyan, CEO and Chairman: Jodi, thanks. I think we’ve summed up. We think this industry is probably at its bottom. We see signs that it is encouraging, that is going to come back. Whether it comes back in the quarter or two quarters, I think all of us at Emmis are focused in doing four things: Number 1, we’re focused on investing in our current brands, we’re focused on ways of doing things better in those brands; number 2, we’re focused on leveraging those relationships into possible new areas of business; number 3, we’re focused on looking at new businesses where we think the upside, the growth rate might be significantly higher than the businesses that provide our core and number 4, we’re going to look at our capital structure which has improved so dramatically in the last 24 months and find new ways to deploy our capital in ways that make sense for all of our shareholders and all of our employees. With that, I thank you.
Operator: Thank you, that does conclude today’s conference. You may disconnect at this time
 